Operator: Good morning ladies and gentlemen and thank you for standing by. Welcome to Sprott Inc's 2015 Q2 Results Conference Call. At this time all participants are in a listen-only mode. Following the presentation we will conduct a question-and-answer session. And instructions will be provided at that time for you to queue up for questions. [Operator Instructions]. As a reminder, this conference is being recorded today, August 12, 2015. On behalf of the speakers to follow, listeners are cautioned that today's presentation in the responses to questions may contain forward-looking statements within the meaning of the Safe Harbor Provision of the Canadian Provincial Securities Law. Forward-looking statements involve risks and uncertainties and undue reliance should not be placed on such statements. Certain material factors or assumptions are implied in making forward-looking statements, and actual results may differ materially from those expressed or implied in such statements. For additional information about factors that may cause actual results to differ materially from expectations about the material factors or assumptions applied in making forward-looking statements, please consult the MD&A for this quarter and Sprott's other filings with the Canadian Securities Regulators. I will now turn the conference over to Mr. Peter Grosskopf. Please go ahead, Mr. Grosskopf.
Peter Grosskopf: Thank you, operator and thanks for joining us today. On the call with me are Steve Rostowsky, our CFO; and on the phone but not here in our room in person we have John Wilson, who is available to answer questions on our asset management business or offer for Central Trust after the call. Our Q2 results were released this morning and are available on our Web site where you can also find our financial statements and MD&A. I’ll start on Slide 3 with a review of our financial highlights for the quarter. The investment management changes we have made over the last two years are beginning to generate results and we're generally pleased with our funds investment performance over the first half of 2015. The weakness in natural resources continues to have a negative impact on our specialty funds in that sector which contributed to our assets under management remaining flat for the period at 7.8 billion. We've recently introduced the number of new products and generated 82 million in net sales across the platform during Q2. Our adjusted EBITDA for the period was $5.9 million or $0.2 per share. And our capital book performed well during the quarter and continues to maintain a 10% plus annualized rate of return on capital invested. Looking now at Slide 4. A majority of our funds performed well on a relative basis during the first half of the year. All of our resource strategies have been re-tooled to deliver better performance and the results for evident through the improved relative performance for quarter to date in 2015. We launched three new funds during the quarter including the latest addition to our enhanced fund group the Sprott Enhanced U.S. Equity Class. Enhanced Fund Group now represents more than 1 billion of our total AUM and has strong selling and performance momentum. We also launched the Sprott Global REIT and Property Equity Fund which is sub-advised by Mike under hill of capital innovations and we launched the Sprott Credit income opportunities fund which has managed by Mark Wisniewski. We have had success in the alternative income area and intend to continue to build assets here as investors hunt for yield outside of the traditional bond universe. This fund is a good compliment to our existing product such as the Sprott Private Credit Trust, and the Sprott Bridging Income Fund. Looking now at Slide 5. We're moving forward with our exchange offers for the Central GoldTrust and Silver Bullion Trust and have received the strong positive response from many of those unit holders. The current tender deadline has been extended till September 18, 2015. Together with other Central Fund of Canada shareholders we've also re-acquisitioned a meeting of SEF shareholders which if up held by an Alberta court later this week will be scheduled for the same day that our offer for the Central Trust expires. I'll now pass it over to Steve Rostowsky for a review of our financial results.
Steve Rostowsky: Thank you, Peter. Good morning everyone. I'll start with Slide 6 with a look at our assets under management. As Peter, noted our AUM was 7.8 billion as of June 30, 2015, basically unchanged from the end of Q1. We did generate 82 million in net sales during the quarter but due to offset by negative market moved performance as well as the effect of the strengthening Canadian dollar during the period. About half of the market value changes market performance and half FX impact. This was a reversal of the situation we experienced during the first quarter when we benefitted from positive FX gains. With the U.S. dollar strengthening once again against the Canadian dollar in the first half of Q3, we expect the performance of certain of our funds to benefit this quarter. Turning now to AUM changes by product type, the composition of our AUM is largely unchanged from the end of Q1. During the quarter as I mentioned we recorded 82 million of net sales as well as 72 million through the acquisition of funds managed by Mark Wisniewski and by Trey Reik, these gains were offset by FX and negative market performance largely from our Bullion Fund as well as some redemptions also laid by our Physical Bullion Trust. As of June 30, 2015, AUM of our managed companies was 756 million compared to 775 million as of March 31, this year. This weaknesses are largely resource oriented and have been hurt by weakness in that sector particularly Sprott Resource Corp. Moving on to Slide 8, which gives you a breakdown of our revenue for the second quarter, management fees were $19.5 million reflecting a decrease of $600,000 from the prior period, largely due to lower AUM of our Bullion funds, managed companies and fixed term LP's. Management fees as a percentage of AUM remain at about 1%. Commission revenues were $1.5 million for the quarter ended June 30, 2015, reflecting a decrease of 1 million from the same period last year. This has been and continues to be a particularly difficult period for private placement activity especially Sprott Global Resource Investment Limited. Interest income which is driven mainly by the continued performance of our loan book was 3.8 million for the quarter basically unchanged from the second quarter of last year. During the quarter we recorded 3.6 million in gains from capital invested in proprietary investments compared with gains of 2.7 million in the second quarter of 2014. Other income for the quarter was 200,000 reflecting a decrease of 600,000 from the second quarter of last year and a decrease of 8.4 million from the first quarter. This decrease was largely due to decreased foreign exchange gains on U.S. dollar denominated cash deposits receivable and loans. Looking now at Slide 9, summary financial information. Total revenue for the quarter was 28.6 million, down 1.6 million from the second quarter last year. Expenses for the three months ended June 30, 2015 were $20.3 million, down from $22.7 million during the same period last year. Compensation was lower by 2.4 million or 24% mainly due to three factors. A one-time compensation expense in Q2 of 2014 relating to a break fee received from a Toscana managed company. A reversal of some earn out expense related to Toscana and lower bonus accrual. G&A expenses were lower by 500,000 year-over-year due to lower professional fees and a non-recurring expense related to a foreclosed property in the prior year, partially offset by higher technology and marketing costs. Adjusted base EBITDA for the second quarter of 2015 was $5.9 million or $0.02 per share reflecting an increase of 13.8% from three months ended June 30, 2014. Net income was $6.7 million or $0.03 per share reflecting an increase of 34% from the second quarter last year. The next slide shows the EBITDA reconciliation in more detail. This slide is self-explanatory but we feel it is useful to show the components of the adjustments included in the adjusted base EBITDA metrics. Since the beginning of 2014 following the acquisition of Sprott's Resource Lending Corp. foreign exchange gains were lot of cash and loans have been included in adjusted base EBITDA. The U.S. dollar, Canadian dollar volatility has masked positively or negatively the results of our core business and so beginning in Q3 this year we will exclude such foreign exchange gains and losses from adjusted base EBITDA. Slide 12 provides snapshot of our current capital position. We continue to enjoy an extremely strong balance sheet. Investable capital stood at 331 million reflecting a 12.1 million decrease from December 31, 2014. The decrease was mainly due to the repayment of the partially drawn credit line and the payout of dividends, partially offset by proprietary investment gains the partial reversal of previous loan loss provisions and operating cash generation and retention. The annualized return on invested capital excluding restricted cash in the line credit availability was 10.2% and on investible capital excluding only the line of credit 8.4%. Our invested capital is mostly made up of liquid investments or investments where we can achieve liquidity within two years. I’ll now pass it back to Peter for some closing remarks.
Peter Grosskopf: Thanks Steve. Obviously was the swoon and resource markets are other alternatives investment areas including the Enhanced Funds and alternative income have become relatively more important to the result of our firm. We'll continue to capitalize on our core competencies in growing this diversified business were performance trends a momentum as well as plan to product reopenings and launches favored continued growth. While gold and silver prices have been under pressure we remain committed to our goal of becoming the leading global manager of precious metal investments. The downturn in the sector presents opportunities to consolidate and grow our historical base in this area and raise new AUM in advance of a rebound. To this end we've exerted considerable effort in retooling our gold strategies and currently have available or in development next generation funds in gold equities, private debt and ETS strategies. Our experience which extends over 30 years in the business is that given the severity of the resource market decline we now have a tremendous opportunity. We're working on our number of exiting initiatives and look forward to reporting to you on them in the quarters ahead. That concludes our remarks for today's call. We'd now be pleased to answer any questions you may have. With that I'll turn the call back to the operator.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Gary Ho of Desjardins Capital. Your line is now open.
Gary Ho: First question I see the data specification strategy gaining traction kind of the growth in enhanced products launch of the U.S. and enhance U.S. equity and Sprott global refund. John and Peter ideally what is the optimal mix for you guys to further resource and versus non resource AUM as we look out over the medium-term? And I'm thinking kind of at quarter end Bullion Fund accounted for roughly 42% of AUM although it spend 46% year-over-year?
Peter Grosskopf: Well I wish it was that easy to plan our optimal mix unfortunately as the function of the realities of performance and money raising I would say that there is no question that the trend is favoring growth and diversified alternative strategies right now, the precious metal component has fallen from almost the 100% of our active management base to as you mentioned to both 40 if the trend continues and precious metal prices don’t recover, equities don’t recover that ratio continue to go lower and if precious metals recover as we expect they will it will be a bit of a race, so we prefer that we think of it that we're trying to do the best job we can in both areas that there is good growth opportunities in growth areas in both areas and that will build the business in both areas to the maximum benefit of shareholders.
Gary Ho: So are you guys comfortable with the current mix than as maybe that's a another way to ask and approach to that question?
Peter Grosskopf: Well. Again I as oppose to the mix we don’t think of it that way we think of it is been comfortable with our performance and growth prospects, so yes were doing the best we can in both areas.
Gary Ho: And then second question on the ETFs, Q1 we saw this are net sales into the ETF and I think this quarter has been relatively flat I think that's due to market sentiment correct me if I am wrong. If that's a case, can you give us any perspective on how some of your comps ETF specially have done in the quarter or how should we think about this?
Peter Grosskopf: Yes, sure. So on the precious metal side with respect to the physical the best comp is the GLD and most of you that follow the precious metal areas know that the gold ETF have experienced considerable of redemptions on the other hand we believe our client base is a bit more sticky, our redemptions have actually slowed vis-à-vis last year and we're more looking at opportunities to actually grow those funds organically. So it's definitely been a big factor that precious metal investors have been selling some of their holdings. So I think it's contributed to the decline I think it's probably a bullish factor if you follow contrary and technical indicators but it's been a factor. On the ETF side our big competitor is the Van Eck Group with their GDX. And GDX was experiencing almost phenomenal growth because the preference of investors has been to move to ETF products in the area. So, they had rapid expansion of shares outstanding even up to last year, but more recently the trend has been that investors have pulled money out of the sector and both of us have experienced mild redemptions. I don't think that's indicative at all of the future, I think that investors do prefer to make investments in this sector through ETF and I think that on the flip side as soon as the sector appears not to be falling as quick it did in the last two months, you are going to see resurgence in demand for those products.
Gary Ho: And then last question, more of a model and accounting questions for Steve. In the MD&A you talked about the legal cost associated with the Central Gold and Silver Bullion Trust coming in at 2.6 million in the quarter and other 2.4 million expected to come. Were these expensed in the quarter or how are these usually treated?
Steve Rostowsky: So, these -- those expenses are capitalized in the quarter and effectively if we are successful the expenses will remain capitalized as the cost to acquire the contracts, if we are unsuccessful the full amount included will be expensed and there is some more detail in those fixed to be financial statements. But that's essentially how these have been and will be treated.
Gary Ho: And then, second one, the tax rate seem a little bit lower, what's a good run rate, cash rate to use going forward?
Steve Rostowsky: The statutory rates is about 26%, 26.5%, we had some tax strategies in place to lower the actual cash tax rate, but it does depend on the source of the income, so right now our expected tax rate -- cash tax rate is about 15%, but it does vary, I mean for example, if we have more income from the U.S., tax rates are quite a bit higher there, I guess unfortunately we had low income from the U.S. so, our effective tax rate is dropped and we have some tax loss pools in our lending business so interesting tax for example, so very much depends on the mix, right now we're at about 15%. As we predicted where that will be going forward.
Operator: Thank you. Our next question comes from Stephen Boland of GMP Securities. Your line is now open.
Stephen Boland: Can you just talk about the loan portfolio? It's down a little bit in the quarter. I'm just wondering in this environment whether we should be expecting more maturities going forward unless money going out in further loans or is this a better environment actually and a depressed commodity environment to lend money out?
Peter Grosskopf: It's a better environment to generate opportunities, you got to be very careful because margins are obviously very depressed and in terms of the amount of capital we have on the loan book, you won't see that increase beyond current levels, so we're not going to put more of our own capital into our loan book, I will say just as an attendant to that for the resource lending strategies, we are running about somewhere over a 120 million of third party capital in those strategies now, we haven't converted that to a fund closing so, we don't have performance fees on it but it looks like our kind of syndication book is growing a bit and we have great opportunities to both continue to grow the strategy overall and convert it to a fund product. But you won't see more of our own balance sheet in it.
Stephen Boland: Has there been any change in the terms of the resource loans in terms of -- this is a one year, two year loans, has there been any change with this environment in terms of what -- profiting?
Peter Grosskopf: I don't want to digress too much and we can certainly go in the detail on it after the call, but short answer is no. The credit quality has become a bit more barbed out, so we're able to make better quality loans, the better companies now. But those are not at the high teens rate, I mean those rates are for smaller companies with more adventurous projects, credit quality is good, we are seeing a very normal course situation there, so we're not concerned about it. And the opportunities are really good, it's been a very strong business.
Stephen Boland: Can you just talk about or provide a little bit if you can, a little bit more of an update on the offer for the Central GoldTrust , Silver Trust?
Peter Grosskopf: John Wilson can you tie in please?
John Wilson: So in terms of our offers proceeding pretty much the way we had expected as you might be aware there've been legal resistance put up by the entities largely because the financial benefit earned by the current administrator and they would like to preserve that, that has sort of two path as Peter mentioned earlier on the exchange offers we've made for the trusts, there was the legal proceeding here in Ontario that goes our Ontario based entity. And then their acquisition -- the meeting for the central fund is based out of Alberta and so there is a separate legal process in Alberta for the acquisition of the meeting. On the second as Peter mentioned we're going to get a legal decision whether that can proceed or not over the next week or so. In Ontario the judge pretty much entirely in our favor about our exchange offers we're allowed to proceed some of the defense of catalogue. The defensive tactic employed by the other side was drawn out and we're encouraged by the progress we've made in terms of gathering tenders and the responsive trend from unit holders so that one continues to proceed, the dates have been extended out for couple of reasons. One was the legal proceedings sort of push things out and then obviously as you can get into August makes more sense but trying reach people as you move into September as oppose to the view this summer. But we're generally pretty happy with how that’s proceeding, there have been number of notable discoveries as we've gone through the process in terms of the lot of independence of current director set up in those vehicles and that they were receiving substantial payments, certainly the lead independent director who resigned last week after we made public what we discovered by his compensation point. So that I think quite is to the theme we've been hammering all along which is simply equals and ongoing manage, they are not independently evaluated in terms of how do we manage the unit holders to do better so we think we'll win or not process them we certainly haven’t seen anything yet say that we wouldn’t.
Operator: Thank you. Our next question comes from the line of Graham Ryding of TD Securities. Your line is now open.
Graham Ryding: John maybe just to quickly follow up. It sounds like, your just as positive more positive on the potential to acquire those trust asset, is that fair?
John Wilson: Yes. I would say that's fair, I mean anytime you're involved in one of these sorts of processes the uncertainty that can be an adjusted and certainly of the legal element makes things tricky so is a bit of a twisty road but yes I mean effectively we were very-very concerned -- the unit holders who have quality of management they were receiving and the independence of these in boards that we're evaluating that management. And certainly everything we've uncovered over that period of time since we started those, anything than far more than what we expected in terms of how badly that has been managed on unit holders behalf. So in that sense it's unfortunate for unit holders but it's better for us, it's even more agreed just than we thought, and Peter and I talk about this all the time we're pushing ahead we're doing the right thing for unit holders and we will cover discount on the vehicles that persist for a long period of time we look back and we believe we can resolve it for unit holders benefit. So I think in the end that message is permitting through the unit holder base and we expect to be successful.
Graham Ryding: Has your offer changed substantially at all versus your regional offer?
Peter Grosskopf: No other than the expensive and expiry date that's pretty much still meaningful change.
Graham Ryding: Maybe I could just jump to the -- Peter just as a loan book there was a drop in your interest income is that just a reflection of a loan book being smaller quarter-over-quarter or was there any other reason why the interest income sell quarter-over-quarter was quite substantially flat?
Peter Grosskopf: I wouldn’t -- I don’t think the loan book was very much smaller but the way that interest is accounted for and I would encourage you to go offline with Steve afterwards, but there is some times accounting provision force us to take one-time items as such as early loan repayments or timing of interest but little bit differently economically we see it is kind of run rate IRR, so we plan it a little different than the accounting basis but please go into detail on it with Steve it's for us it's a steady steep business right now.
Graham Ryding: And it sounds like you are happy with the size of the book you don’t necessarily see it getting any materially larger but not any significant decline as well. Is that accurate?
Peter Grosskopf: Well. Look earlier this month we had $600 million of outstanding term sheets all I can tell you is we are not putting more capital behind it so in order to close deals that large we need syndicate partners or a fund investment to step up and start rolling. So great opportunities but we're cognizant of the fact that we want to keep our book short-term liquid, low risk we're happy with the interest that generates but to grow that business were going to be doing at off our balance sheet.
Graham Ryding: And the 120 million you said you've the third party assets around those loans, is that not enough to turn that into a fund, you need a larger amount?
Peter Grosskopf: It's complicated, some of those parties make their own decisions, have their own credit committees and to convert that to an LP base takes a bit of time.
Graham Ryding: The launch of the new funds this quarter in the REIT, the credit opportunities in U.S. enhanced, do you see these funds in any way and what's the size of them currently?
Peter Grosskopf: I'm going to give you a very broad based estimate here, don't -- please don't hold me to it. One just launched like literally last week I think the real assets fund, the U.S. fund was only two weeks ago, the credit opportunities was within the last two months, so all of them are fairly fledgling, I think in credit opportunities we have about 20 million to 22 million U.S. equities. John you want to answer that.
John Wilson: We see that the U.S. equity is being enhanced, U.S. equity fund with five effectively -- it doubled from the first week. So, the flows in the enhanced franchisee have been very strong, those have actually gone up meaningfully with the launch of U.S. funds, though it hasn't been a cannibalization of the current flows, but in addition which is obviously what we want it.
Peter Grosskopf: And Graham, sometimes we seed them, sometimes we don't, it just depends on the mechanics of the launch, the seed is usually quite liquid, it depends as well on the opportunity that we see based on the fund parameters and what the manager is telling us about expected returns. We have a fairly active rotation on that seed books, so that's the way we run it.
Graham Ryding: And then over time as the funds grow, do you hold that seeded money out or do you keep it in?
Peter Grosskopf: In most cases, we'll pull it out, except that there's an exceptional opportunity just based on its own merits, we'll keep something working in a sector if we see an outlook that exceeds our cost to capital.
Graham Ryding: And then just lastly, performance on your funds year-to-date or any funds tracking towards performance fees this year?
John Wilson: Graham we have a number of funds that are tracking performance fees this year and which is a good thing, there are several but, they're not any of the larger funds, so they -- the numbers are reasonably small, I mean so far we're tracking several hundred thousand million dollars in total. On the SAM managed funds or the NMV sub-advised funds bridging and private credit, I mean there's some tracking on those as well.
Graham Ryding: So, should I think if it is sort of your energy fund is probably doing well, relative to its benchmark?
John Wilson: Yes, in -- in one of the classes same as small cap, so the equities, there are few of them, again I can take a little time and give you detail.
Operator: Thank you. And our next question comes from the line of Scott Chan of Canaccord Genuity. Your line is now open.
Scott Chan: Steve, just on the performance key side, if I think about the gross amount for the year end, looks like it's tracking lower than what you did last year, is that a fair statement?
Steve Rostowsky: Yes, but that is because of private credit, private credit is tracking a little bit lower than last year, but we're only seven months in so, that could change once you get above hurdles, it can accelerate fairly quickly. We have more funds though that are tracking performance we did last year. it's too early to tell.
John Wilson: As Peter mentioned once you're in performance you see things can accelerate fairly quickly. And so, there are a number of funds also certain classes of the enhanced long short fund or tracking performance fees, so things can accelerate quickly, so its little bit early to predict exactly where we're going to end up.
Scott Chan: And Steve, when I look at the proprietary gain of 3.6 million this quarter, talk a little bit seeds and equities helped contribute to it, was that non resource cost side that benefitted it or it was a -- or do they have to resource in there?
Steve Rostowsky: We benefitted, we made an early a seed investment in bit gold and that went public in the quarter and was pretty profitable, that's probably the biggest contributor.
Scott Chan: And just one last question, you gave some good updates on your products but Peter I'm just wondering if there is any update on ETF potentially ETF launches over the next year?
Peter Grosskopf: Yes. So ETF we have several in development not saying we would launch several at the same time or even conclude on several but the development process is you come with the good idea, you back tested, you spend money on it and you press the button when your sensing that there can be real demand in the market and I think in at least one case sensing that we can get something very innovative launched in the next few months and we hope it can be a real material addition.
Operator: Thank you. I'm showing no further questions at this time. Like to hand the call back over to Mr. Peter Grosskopf for any closing remarks.
Peter Grosskopf: Thank you everyone for your time today, we're happy to answer questions directly and thanks to operator for arranging the call. Everybody have a good week. Thank you.
Operator: Ladies and gentlemen. Thank you for participating in today's conference. This thus conclude today's program. You all disconnect. Have a great day everyone.